Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Jacobs Fiscal Fourth Quarter 2020 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  If you require any further assistance, please pass over to your speaker today, Jon Doros, Head of Investor Relations. Thank you. Please go ahead.
Jon Doros: Good morning to all. Our earnings announcement was filed this morning, and we have posted a copy of the slide presentation on our website, which we'll be referring to during the call. I'd like to refer to you our forward-looking statement disclaimer, which is summarized on Slide 2. Certain statements contained in this presentation constitute forward-looking statements as such is defined in Section 27A of the Securities Act of 1933 as amended and Section 21E of the Securities Exchange Act of 1934 as amended. And such statements are intended to be covered by the safe harbor provided by the same. Statements made in this presentation that are not based on historical fact are forward-looking statements. Examples of forward-looking statements include, but are not limited to, statements we are making concerning the potential effects of the COVID-19 pandemic on our business, financial condition and results of operations; and our expectations as to the future growth prospects, financial outlook and business strategy for fiscal 2021 and future fiscal years. Although such statements are based on management's current estimates and expectations, and currently available competitive, financial and economic data, forward-looking statements are inherently uncertain, and you should not place undue reliance on such statements as actual results may differ materially. We caution to read that there is a variety of risks, uncertainties and other factors that could cause actual results to be different materially from what is contained, projected or implied by our forward-looking statements. Such factors include the magnitude, timing, duration, ultimate impact of the COVID-19 pandemic and any resulting economic downturn on our results, prospects and opportunities; and the reinstatement of easing of shelter in place, stay at home, social distinct travel restrictions and assemble orders and measures or restrictions imposed by governments, health officials in response to the pandemic; the development, effectiveness and distribution of vaccines or treatments for COVID-19; and the timing, amount and details of any government stimulus programs enacted in response to COVID-19 and the resulting economic impact. For a description of these and other risks, uncertainties and other factors that may occur that cause actual results to differ from our forward-looking statements, see our annual report on Form 10-K for the year ended October 2, 2020, which was filed this morning. We are not under any duty to update any of the forward-looking statements after the date of this presentation to confirm to actual results, except as required by applicable law.
Steve Demetriou: Thank you, John. Thanks, everyone, for joining us today to discuss our fourth quarter and fiscal year 2020 business performance and strategy update. We hope everyone is staying safe and healthy as the pandemic continues to impact all facets of our daily lives and our loved ones. As we work with our pharma supply chain to support the development and distribution of a vaccine, we must not lose sight of the severity of the situation globally. Here at Jacobs, aligned with our core value of we do things right, we will continue to prioritize the health of our employees and our communities. During this pandemic, we have prudently adjusted our cost structure while continuing key strategic investments to position Jacobs to accelerate growth as the economy recovers. We have continued to take deliberate strategic actions to drive inclusivity and diversity of thought across Jacobs as well as making targeted investments to accelerate our digital capabilities. We strongly believe these investments position Jacobs to capture a compelling growth opportunity to emerge as a uniquely positioned strategic consultant and delivery partner across a diverse set of sectors where we have deep domain expertise.
Bob Pragada: Thank you, Steve. And now moving on to Slide 7 to review our Critical Mission Solutions performance. During the fourth quarter, our CMS business performed well, demonstrating CMS' resiliency and alignment to the diverse set of high-value sectors we serve, such as national security, space exploration, intelligence, nuclear life cycle solutions and the deployment of 5G infrastructure. Total CMS backlog is at $9.1 billion, representing a 3% year-over-year growth on a pro forma basis and does not include our previously awarded King's Bay intelligent asset management win, which we fully expect a clear protest in early April. Importantly, approximately half of our bookings during the fourth quarter were from new business.
Kevin Berryman: Thank you, Bob. Let's now turn to Slide 9 for a more detailed summary of our financial performance for the fourth quarter. Before I begin, please note that our fiscal fourth quarter 2020 included an extra week compared with the fourth quarter of fiscal 2019. While this impact was factored into our guidance, it represented approximately $100 million in a year-over-year net revenue tailwind for each of CMS and People & Places. Fourth quarter gross revenue, as a result, increased 4% year-over-year with pro forma net revenue up 2%. People & Places net revenue was up 8% year-over-year, and Critical Mission Solutions declined 3.6% on a pro forma basis. The CMS decline was mainly attributed to the early impact from transitioning off of two lower margin contracts, as I will explain later, in more detail. It is important to note CMS operating profit on a pro forma basis increased 14% year-over-year. Adjusted gross margin in the quarter as a percentage of net revenue was 23.5% down 135 basis points year-over-year. The lower gross margin was driven by a combination of factors primarily within People & Places, including overall revenue mix, the comparison versus a very strong year-ago quarter, the impact of some project closeout costs and the previously discussed flow-through effect of the reimbursable rate of a more efficient fixed cost structure in the LOB. The lower reimbursement rate for fixed cost is more than offset by the underlying lower level of G&A costs. This impact to reimbursable rates from our cost structure is also reflected, and overall, lower G&A as a percentage of net revenue of 100 basis points year-over-year to 14.4%. As it pertains to G&A, the fourth quarter continued to benefit from low travel and employee-related medical costs. GAAP operating profit was $22 million and included $211 million of restructuring, transaction and other charges, of which the vast majority was associated with our recently announced Focus 2023 initiative and $24 million of other charges consisting of $23 million of amortization from acquired intangibles and $1 million of costs associated with the Worley transition services agreement. Adjusting for these items, adjusted operating profit was $258 million, up 2% from the prior year figure. Our adjusted operating profit to net revenue was 9.1%, down 30 basis points year-over-year on a reported basis, a result of the lower People & Places margins discussed earlier. This was partially offset by improved critical emissions margins and flat year-over-year unallocated corporate expense. I'll discuss the underlying drivers of these costs on the line of business review slide. GAAP net earnings and EPS from continuing operations were $70 million and $0.53 per share and included $1.22 per share of after tax restructuring, transaction and other charges, as noted above, an amortization charge of acquired intangibles of $0.13, both of which were partially offset by a $0.34 net benefit, largely driven by the mark-to-market adjustments associated with our Worley equity stake. Excluding these items, second quarter adjusted EPS was $1.63, including a $0.24 benefit from discrete tax items. Excluding these discrete great tax items in both the current and year ago quarter, underlying adjusted EPS was essentially flat year-over-year. Q4 adjusted EBITDA was $277 million and was up 1% year-over-year, reaching 9.8% of net revenue. Finally, turning to our bookings during the quarter, our pro forma book-to-bill ratio was 1.04 for Q4, driven by solid bookings from both lines of business. As Bob noted, the over $400 million previously awarded Kings Bay Intelligent Asset Management win remains in protest, and as a result, is excluded from our backlog figures. We expect to be notified of our resolution mid fiscal year 2021. From a pipeline standpoint, we continue to be encouraged by strong new business dynamics within Critical Mission Solutions. We believe nearly all of the opportunities we are pursuing have strong bipartisan support as they are high-priority areas associated with national security. We believe that the People & Places Solutions business overall sales pipeline also supports strong long-term growth. We continue to see changes in the underlying composition and timing of opportunities driven by a more environmentally friendly U.S. administration as well as covered related impacts. Turning to Slide 10. Let me summarize our fiscal 2020 performance. For the full year, revenue increased 7% and net revenue increased 2.5% pro forma for the Wood Nuclear acquisition. GAAP operating profit was $536 million, and adjusted operating profit was $970 million, up 9% versus the year ago figures. Adjusted EBITDA was $1.05 billion and increased 7%, reaching 9.6% of net revenue. Our fiscal year 2020 book-to-bill was 1.07 times. And before leaving our consolidated annual results, I would like to make some summary comments regarding our first half and second half performance. Fiscal 2020 has been defined by a year of two very different halves. Prior to COVID, our first half performance was indicative of strong momentum, with pro forma growth net revenue growth of over 6% and double-digit pro forma operating profit growth, resulting in operating profit margins up 50 basis points year-over-year. As the pandemic took hold, our teams quickly adjusted plans for the second half of the year as we've recognized that physical distancing and economic disruption would impact our earlier revenue momentum. Revenue ended up being relatively flat in the second half versus both the second half of 2019 and the first half of 2020, indicating the resilience of our portfolio. Importantly, our teams were able to successfully manage to a lower cost structure than our original plan with costs reduced over $100 million during the second half versus our original plan. The agility of our teams to adjust rapidly was profound, and we are proud of them for having successfully mitigated the economic disruption to the Company and the impact to our clients. So regarding our LOB, let's turn to the Slide 11. Starting with CMS, as expected, pro forma revenue declined 3.6% year-over-year during the fourth quarter. Excluding the impact from the two large lower margin contracts we are transitioning off and the benefit of the extra week of revenue, growth would have also been down low single digits year-over-year, driven by the impacts associated with COVID-19. While revenue was down, CMS operating profit was $108 million, up 14% year-over-year on a pro forma basis, with operating profit margin up 140 basis points year-over-year to 8.1%. Even factoring in the extra week in the fourth quarter, operating profit would have increased high single digits year-over-year. The improvement was driven by our strategy to focus on higher-margin opportunities with some additional benefit from favorable project closeouts. From a full year perspective, pro forma revenue was down 1%, and operating profit on a pro forma basis increased 8%. Operating profit margin increased 70 basis points to 7.5% from fiscal 2019 against -- again, consistent with our strategy consistent with our strategy to expand our CMS margins. Looking into fiscal 2021, we expect CMS reported net revenue to be up low single digits as we ramp new wins and benefit from newly acquired higher margin revenue. Given the strategy to capture higher value opportunities and the benefit from acquisitions, we expect reported operating profit growth to be up double digits. We do believe that the improvements will be more back half-oriented given the impact from the two lower margin contracts will be more than offset with the new higher-margin business later in the second half. Moving to People & Places Solutions. Q4 net revenue was up 8% year-over-year but would have been relatively flat, excluding the benefit of the extra week during the fourth quarter. Operating profit was down 8% year-over-year. And as a percentage of net revenue, operating profit was 12.2% for the quarter, down over 210 basis points year-over-year, driven mainly by COVID-related headwinds in the quarter, some project closeout costs and the strong -- very strong year-ago quarter, which benefited from project closeout benefits. From a full year perspective, PPS net revenue was up 6%, with operating profit up 4%, reaching an operating profit margin of 12.4%, slightly down versus a year ago due to pressure associated with COVID-19 in the second half. Looking forward, we expect People & Places revenue to be up low single digits for fiscal 2021, with relatively flat growth in the first half of the fiscal year. We expect operating profit margin as a percent of net revenue to increase modestly from fiscal 2020, given the higher-margin mix in our sales pipeline and lower costs from our focused -- Focus 2023 initiatives. These benefits will be largely offset in 2021 by additional costs as we transition from cost mitigation efforts executed during the second half of fiscal 2020 to a more sustainable cost structure in 2021 and beyond associated with driving profitable growth. Our non-allocated corporate costs were $33 million for the quarter, flat from the year ago period. On an annual basis, non-allocated corporate costs were $143 million, up 9% year-over-year. Looking forward to 2021, we expect our non-allocated corporate costs to be higher, driven mainly by inflation and medical costs, improved employee benefits and an increase in employee discretionary medical procedures that were put on hold during fiscal 2020 due to COVID-19 concerns. Now turning to Slide 12. I would like to update you on our Focus 2023 and M&A integration. As Steve discussed, the pandemic has fundamentally changed nearly all facets of the economy, which has provided us the ability to challenge our current processes to reinvest how we deliver solutions to our customers in the future. During Q4, we formed a dedicated internal team with assistance from an external adviser to examine the future work and other transformational opportunities. We are embarking upon a strategic initiative, Focus 2023, that we believe will lead to enhanced employee experience, improve our ability to capture emerging high growth, high-margin opportunities and drive a more efficient cost structure through increased automation and process alignment for improved longer-term profitability. During the quarter, we incurred a nearly $200 million charge related to our Focus 2023 initiative, of which there was only $1 million in cash outflow during the quarter. Of the charge, approximately 80% was related to noncash real estate lease impairments as we plan to decrease our fiscal footprint by over 30%. The remainder of the costs was related to strategically leaning out the organization. In 2021, we project that we will have more than another $30 million in one-time costs associated with our Focus 2023 initiative. Our initiative has already generated approximately $75 million in quick win cost savings in fiscal 2021. This is allowing the Company to offset the incremental cost noted earlier expected in fiscal 2021 as compared to our lower cost structure associated with our COVID mitigation efforts in fiscal year 2020. In addition, it's expected that the run rate of these quick wins will provide another $25 million in savings in 2022 as we realize the full annual run rate benefits into the next year. Beyond these quick one savings, we believe there are substantial additional benefits approaching another $100 million into 2022 and 2023, which we will believe support incremental investments that will accelerate our growth and drive towards a more digital, innovative company that provides unique value-added solutions to our clients. We will provide additional detail of our Focus 2023 initiative during our expected Investor Day in the first half of calendar year 2021 and provide an update on our FY '21 Q1 earnings call. Now turning to our acquisition of Wood's Nuclear business. We are on track to achieve our targeted $12 million in run rate cost savings and the business continues to perform in line with our original target despite top line headwinds from headwinds from physical distancing. And finally, the acquisition of The Buffalo Group was announced today. While terms of the transaction were not disclosed, the acquisition is expected to deliver $0.08 to $0.10 of adjusted EPS accretion during fiscal 2021. And the cost of the acquisition adjusted EBITDA when including the tax benefits from the acquisition. And finally, when including all initiatives, including Focus 2023 and all M&A efforts, we expect the total estimated amount of approximately $80 million of P&L charges and $110 million in related cash outflows during fiscal 2021. Now on to cash flow generation and the balance sheet on Slide 13. During the quarter, we generated $403 million in free cash flow as a result of very strong collections and lower headwinds from cash restructuring. Q4 cash flow included a positive $23 million of net one-time benefits primarily due to a pandemic related cash tax deferral, partly offset by headwinds from cash outflows associated with restructuring and other items. For fiscal year 2020, we generated $689 million in free cash flow above our original expectation. Our annual free cash flow included $10 million of net nonrecurring outflows. When excluding this $10 million net headwind for the full year, the Company delivered a 96% free cash flow conversion to our adjusted net income figure for the year, demonstrating the strong free cash flow capabilities of the business. Over the medium term, we continue to target 100% conversion of recurring cash flow from adjusted net earnings. As previously stated, we expect approximately $110 million cash outflows related to Focus 2023 and other restructuring and integration during fiscal 2021. We also expect a reversal of pandemic-related UK payroll tax benefits recognized in fiscal 2020 of at least $40 million. That results in an expected total headwind of $150 million of cash outflows in the fiscal year 2021, including these one-time items. DSO performance in Q4 was the major driver to our improved free cash flow improvement, down almost nine days, excuse me, from 3Q 2020 as many of the collection process improvement initiatives implemented gain traction. We are focused on maintaining this lower DSO level, which will be a major driver to our ability to deliver a 1x free cash flow conversion target long term. And now moving to the balance sheet. Given the strong free cash flow for the quarter and year, we ended the quarter with cash of approximately $900 million and a gross debt of $1.7 billion, resulting in $800 million in net debt before attributing the benefit of the Worley equity. Treating the Worley equity as cash, our pro forma net debt to expected adjusted 2021 EBITDA is approximately 0.5 times, a clear indication of the strength of our balance sheet. Regarding capital deployment, during the quarter, we repurchased approximately $50 million worth of our shares. For modeling purpose, we would expect an average share count of $131 million for the first quarter 2021 and fiscal year 2021, excluding additional material share buyback activity. Of course, as Steve noted in his opening comments, our plan is to proactively deploy our capital as we plan for the transition out of a COVID-19 environment. Regarding our effective tax rate, we continue to expect an adjusted effective tax rate of 24% for the fiscal 2021 year, in line with our longer-term normalized adjusted tax rate in the range of 23% to 25%. Finally, given our strong balance sheet and free cash flow, we remain committed to our quarterly dividend, which was increased earlier this year and declared at $0.19 per share. As you know, our current dividend level represents an increase of 12% versus a year ago. Now, I'll turn it back over to Steve for our outlook and closing comments on Slide 14.
Steve Demetriou: All right. Thank you, Kevin. Now let me review our total company outlook for fiscal 2021. We expect adjusted EBITDA outlook to be a range of $1.055 billion to $1.155 billion, which represents year-over-year growth. Adjusted EPS is expected to be a range of $5.20 to $6. It's important to note that our guidance does not include any benefit from material future share repurchase activity. We do expect to fully utilize our balance sheet capacity over time through share repurchases or acquisitions that provide returns in excess of back. Looking beyond fiscal 2021, we expect adjusted EBITDA growth to rebound to double-digit adjusted EBITDA as we benefit from our Focus 2023 initiative as well as potential infrastructure-related stimulus and economic recovery. Operator, we'll now open the call for questions.
Operator:  Thank you. Our first question comes from Jerry Revich with Goldman Sachs. Your line is open.
Jerry Revich: Yes. Hi, good morning, everyone.
Steve Demetriou: Good morning, Jerry.
Kevin Berryman: Good morning,
Bob Pragada: Good morning.
Jerry Revich: Can you expand on Focus 2023 initiative? I'm sure we'll hear more at the Analyst Day, but just touch on what are the additional pillars beyond the cost reductions that we're talking about here? And Kevin, maybe just a clarification, how much of the $200 million savings do you expect to reinvest in digital when we look at it on a run rate basis in 2023? What's going to be the net number we should keep in mind? Thanks.
Steve Demetriou: Jerry, just sort of at a high level, the two major pillars, really, and the first one is really growth. It's all about driving the next-generation technology growth. We've obviously learned a lot over this past 10 months, 11 months with what happened during the pandemic, and it's really given us tremendous opportunity to accelerate our solution set across a variety of sectors that Bob really covered in both LOBs. And the second pillar is delivering our work more efficiently, effectively. We have a huge opportunity with what we outlined with regard to the way we're going to have a much more dynamic operating model moving forward with flexible workspace, continued remote working. So, a significant opportunity to reduce cost, but that goes far beyond just the real estate and travel. It's really back office efficiency, procurement and a whole host of other things that should deliver significant cost savings. So, those are sort of the combinations that -- again together unleashes a growth trajectory for Jacobs moving forward. Kevin, on -- some more on the financial side.
Kevin Berryman: Yes. Jerry, so if you think about the savings associated with the Focus 2023, I already quoted some of the numbers, but to note that couple of hundred million dollars, almost $200 million of one-time costs that's primarily associated with lease impairment cost non-cash charge. And if you think about what that translates into in terms of the reduction in the -- let's call it the real estate costs going forward, it's roughly $35 million, of which, the vast majority is associated with a reduction in lease costs. So, as you think about that, there is obviously much more savings on top of that, which totaled to the $75 million we talked about with a run rate of an additional $100 million. Those are related to the initiatives about leaning out the organization and the efficiencies gained with ultimately the investments in tools and capabilities and training associated with the Focus '23. It is really clear that we've learned a ton during these last nine months and we're taking full advantage of that and being proactive and leaning forward to, to help take these learnings and create something even better for ourselves and our clients, and our people going forward.
Operator: Our next question comes from Joseph DeNardi with Stifel. Your line is now open.
Joseph DeNardi: Thanks, good morning. I guess for Kevin, Steve mentioned making progress on the margin targets. Can you remind us what those are at this point? I think at the Investor Day, it's kind of high-8s for CMS, low-13s for PPS. I don't know -- I don't think that FY 2021 guidance implies you get there next year. So, can you just kind of remind us where the targets are? What the timeline is? And I don't know what the earnings power is from all of what you're talking about here this morning?
Kevin Berryman: Yes, look, I think as you -- before COVID, actually, the People & Places business was pretty much on target to deliver that, that kind of margin target in 2020 and then got disrupted little bit given the second-half of the year, Joe. But I think that at the end of the day, we're going to be right close to those kind of figures in 2020 -- 2021 fiscal year. On CMS, I think, we're going to be right there in terms of the margin targets that we had characterized back in 2016, kind of mid-8s, hopefully, maybe a little bit higher, but I think that that's what our expectations are for CMS. So, I think we're right there. You have noted in our comments that the CMS margins are going to be driven by a relatively lower revenue growth because we're working off some of these other longer-term contracts, but that could be replaced by a more robust margin profile business over the course of 2021, leading to a really strong margin profile consistent with what the original targets were for 2021.
Operator: Our next question comes from Jamie Cook with Credit Suisse. Your line is now open.
Jamie Cook: Hi, good morning. Just first question to follow-up on the question that was just asked. On the margins, you're talking about hitting the margin targets in 2021 that you laid out, I think, in 2019. But I guess, given the incremental $200 million plus in costs that we're taking, how do we think about the longer-term margin profile? Can we get better margins than what we laid out in 2019? Or do we need this to achieve that given COVID? And then my second question, any color that you can provide on the Buffalo acquisition in terms of how that business -- the organic sales growth or EBITDA or margin of that business? And I'm just trying to understand, excluding Buffalo, would you have grown your 2021 EBITDA year-over-year like you laid out earlier in the year? Thanks.
Steve Demetriou: Yes, just Jamie to start with -- hand it back to Kevin for maybe some more financial back up is that, yes, we expect the Focus 2023 to give us incremental margin improvement as we get beyond 2021. It's one of the major opportunities and objectives of that initiative. And the Buffalo acquisition is accretive to CMS margins. So, it's going to enhance that on top of what I just said. And so I think the combination of those two, as well as the backlog profile we have and looking at the -- some of the multi-year aspects of that backlog and the higher margins in the current backlog as we move forward, gives us confidence for multi-year margin improvement. Kevin?
Kevin Berryman: I would echo the same thing, Steve, that you reemphasized the fact that the Focus 2023 really is while we're getting some cost efficiencies here that the intention is that we're going to be able to reinvest back into some of the digital capabilities that we know are there, which facilitate our ability to win solutions with our clients or deliver solutions to our clients that ultimately are associated with a higher margin profile. So, really is about growth, and it really is about a margin profile longer-term that we would expect to see upward trajectory versus kind of the 2021 figures.
Operator: Our next question comes from Gautam Khanna with Cowen. Your line is now open.
Gautam Khanna: Yes, hey, I was wondering if you could talk a little bit about Buffalo Group. If there are any small business set asides or items like that, that might be part of the retain over time? And if you could just broadly characterize the M&A pipeline from here how it looks in terms of number of properties and potential sizes that you're looking at?
Bob Pragada: Adding to the first one, I missed the second part of the question. Could you repeat the second part?
Gautam Khanna: Yes, sure. So, if you could characterize the M&A pipeline as it stands post Buffalo. What else is out there? If there's -- if that's a big part of the 2021 plan, further M&A?
Bob Pragada: Okay, great. Yes, on the first one, the small business set asides we took a really strong look at that and these -- not just these recent awards, but then the trend that we see going forward with regards to the areas of the government that the Buffalo Group is involved with are full and open. So we don't really see that the small business set asides of the past affecting how we see the real synergies that the platform is going to bring to our overall business. So we're optimistic on that front, and then Steve, you want to add?
Steve Demetriou: Yes, on the overall M&A pipeline, it's very consistent with what we've been talking about essentially going back to our 2019 strategy Investor Day, and that is as we just did with The Buffalo Group, we'll continue to look at ways to strengthen our government services business and move up the value chain there. From an overall Company standpoint, we've talked about digital consulting, strategic consulting becoming a bigger end-to-end player, especially on the front end, geographic expansion is another area. So, just very consist of staying core to our strategy.
Operator: Our next question comes from Andy Kaplowitz with Citigroup. Your line is now open.
Andy Kaplowitz: Kevin, obviously you reported a strong free cash flow quarter, 96% adjusted free cash flow. Do you think Q4 was basically the inflection point toward generating strong free cash flow conversion going forward? And then why would conversion actually go down in FY '21, excluding one timers, which has gone off your range given all the work you've done with the improvement in collections and back office systems work you've done?
Kevin Berryman: So, thanks for that question. I would say a couple things. One that I hope you're right that we will perform better than those numbers, first comment. But I think, as we think about the balance of next year, the back half of 2020 did have some challenges relative to our revenue being less robust than what we would originally assumed. So, as you think about the working capital dynamics associated with that number in the back half of the year, at the end there is some tailwinds, because we don't have as much of a bills and the working capital numbers in 2020. As we transition to 2021, and if we get to the conversion numbers we're actually talking to, actually we're making further improvements in DSOs because you're now facing an investment back into working capital. So, at the end of the day, we think it's a continuation of that journey to get to that one-time conversion number, which I've always kind of targeted the year 2022 as to getting there.
Operator: Our next question comes from Chad Dillard with Bernstein. Your line is now open.
Chad Dillard: So, what's embedded in your upper and lower end of the guidance range, ascribing the tax benefit '21 and rest of that '20, which suggests earnings at the low end of the '21 guide, in terms of inclusive of the $9 benefits from Buffalo, the Wood Group cost savings, just want to help bridging earnings from this past year into 2021.
Kevin Berryman: Yes, Chad, let me take a crack at that and respond. Look, we recognize that our range here is relatively wide. But we also recognize that we continue to be in the midst of a pandemic. And while we feel really good of our ability to have done a great job in the second half of 2020 to mitigate some of the challenges associated with it, we still are in the midst of it. And so I think the low end of our range would be something that we hope never happens, but it would be a situation where the economics are challenged around the globe and that will have situation of that -- of that magnitude, which by the way still results in our ability to be flat versus year ago in a dire economic environment. That's how we would characterize the low end of our range. At the high end of the range, we're starting to be more optimistic as we come out of the dynamic associated with COVID and that we are developing the momentum that we actually think will happen into 2022 faster. So I think that's how we would characterize the range. I think we're being prudent by putting that range there and hopefully it gives you some constructive use as to see what the potential downside is under a pretty bad scenario and what the potential upside is under a good scenario.
Operator: Our next question comes from Steven Fisher with UBS. Your line is now open.
Steven Fisher: Thanks, good morning. Just wondering if you can give a little more color on the cadence on the revenue and EPS guidance for fiscal '21? It sounds like perhaps Q1 revenues might be down kind of low single digits, but it's hard to tell how back-end weighted EPS is and how relatively light versus consensus Q1 might be. And also just trying to get a sense of sort of the revenue trajectory here, if something is selected more positively or just sort of like a normalizing kind of from a COVID situation? Thank you.
Kevin Berryman: Yes, Steven, this is Kevin. I'll just reinforce what I said earlier, I think the first half is more flattish relative to our net revenue figures and back half is less flat, it starts to show some momentum. And so I think that that's how we would see the cadence. We're still in the midst of the pandemic, certainly we feel like we're going to be holding serve relative to our first six months. And given all the strong work that we're doing on everything else, we're going to see some actual margin improvements and profit improvements in the first half, but the revenue cadence is probably little bit more flattish in the first half developing additional momentum in the second half.
Operator: Our next question comes from Michael Dudas with Vertical Research. Your line is now open.
Michael Dudas: Maybe this for Bob, when you're looking out for 2021 in the PPS segment -- PP&S segment, characterize the different funding flows or expectations from the private sector and public sector clients. And it seems like you got some international momentum on that business. So I'd like to hear little more details on that? And maybe for Steve, you mentioned a couple of times in the presentation about positive aspect from the Biden Administration, are your clients -- is there a pent-up demand for things to get going again once some of the uncertainty with the election and COVID passes with the vaccine success, which I know you guys were involved with on the production side, is that really going to be that the kick of the inflection to see the growth in second half of '21, and going into '22? Thanks.
Bob Pragada: Sure. Mike, let me just kind of take it one at a time. Private sector, you know it is really well long-term -- long-term relationships that we have with the private sector clients that we haven't. So if you look at what does that mean for Jacobs, predominantly in the manufacturing space as well as a bit on the environmental side with regards to other industrial clients, we're actually starting to see a bit of an uptick as those clients really look at not only the portfolio mix, but also how they reorganized their global supply chain as a result of the learnings from COVID. So a bit of -- it's -- and it kind of touches the profile of services that we offer. So we can help them with regards to conceptual planning and kind of looking at helping them solve those solutions with other innovations that we have on how they look at that. So on the private sector side, we're starting to see, we have visibility to where those will materialize into other downstream projects and we're in that phase right now. Public sector, steady business and that's a global comment and I'll come back to kind of a nuance between international and U.S., but we are seeing in the U.S. public sector is that the creativity that state and local government have already exhibited for the better part of the last three years to four years has continued, And with some of the extensions, whether it be continuing resolution extension within the government or it would be on the bond measures that have 31 of the 44 bond measures passed in this last election, they're utilizing those types of measures in order to continue on the projects, whether it be in transit or in water. Stimulus would be added to that, we monitor ourselves over what we could see. So that's kind of what we're seeing in the U.S. and the international side the stimulus money is already is -- we're starting to see some effect of that specifically in UK with the 10 point plan already starting to see some early planning work around that. And then in Australia, we're already starting to see some of the effects of those of those money flowing through. So overall we are well positioned for whichever -- whichever way the markets go.
Steve Demetriou: Yes, Michael part two of your question, I think it's a combination of pent-up demand and accelerating demand over the course of the next 12 months to 24 months. And what I mean by that is pent-up side obviously things like the fact that the life science, pharma industry has been totally focused on COVID-19, but there's a whole host of opportunities there that they need to get back at around oncology and biotech, etc., you think of the whole aging infrastructure dynamics in the U.S. and the UK and other areas that have to be addressed. And I think those two regions specifically the government is now set up to hopefully live up to strong stimulus and funding around infrastructure the next several years. But then you've got the whole accelerating demand that we talked about, which is really driving our Focus 2023 initiative and that's that customers have now come to grips that they all have to get at this and accelerate their own technology platform and climate change issues and opportunities and so that accelerating demand opportunities is going to open up and expand our total available market and create significant opportunity for Jacobs.
Operator: Our next question comes from Sean Eastman with KeyBanc Capital Markets. Your line is now open.
Sean Eastman: Hi, team. Thanks for taking my question. Just as we think about -- thinks of this migration sort of more up market, higher margin business mix over time, just curious how you'd reflect on the win rate in some of those higher margin adjacencies through fiscal '20? And as you think about Focus 2023 does that program potentially drive that adjacent market win rate materially higher over time?
Steve Demetriou: Yes. Let me, at a high level again and it's great that you asked that question because it feeds right into the whole Focus 2023 initiative. It is all about moving into more and more higher value markets that we believe have a long runway of opportunity and so it's, when we talk about connectivity and climate change resiliency what's going to -- the whole dynamic of what's going to happen with healthcare moving forward and really all aspects of both our Critical Mission Solutions and People & Places Solutions business it's exactly what fits into what is the question that you asked, is that it is going to be moving into the higher market opportunities. And as I just answered the previous question, we believe that the total market that we're going to be going after over the next several years is going to be significantly expanded versus what we've been addressing over the last, say, five years because of the whole technology dynamics that have evolved over the last 12 months. Bob, do you want to kind of give some specific examples around that?
Bob Pragada: Yes, absolutely. Just to add on to what Steve as told, the win rates have been high and we expect them to be -- continue to be higher, but the client challenge is if you look at five years ago versus now, the current challenges are the same. These other dynamics that Steve was mentioning, or accentuating them. And so those challenges now need a different type of solution, which is where Focus 2023 comes into play. So an example, if -- one of the big areas that we have going on right now is around the use of hydrogen power, I'm sorry, hydrogen as a synthetic fuel and really addressing the decarbonization efforts that are going on both in the UK, the U.S., Australia, all over the world and whether it be for power generation for automotive, for ships, for airplanes, to power residential communities, it's across the board and Jacobs is right in the middle of all of that. So again the challenge of the stray away from fossil fuels, not a new one, but now with the advent of hydrogen and other synthetic fuels and the use of technology on how that support, something that we're right in the cross areas of.
Operator: Our next question comes from Josh Sullivan with The Benchmark Co. Your line is now open.
Josh Sullivan: Hi, good morning. Just on the virtualized environment, how do you differentiate Jacobs brand and recruit employees. Just as the friction for high value talent, it comes down with more virtualization kind of across the board. Can you just give us your thoughts on how Jacobs wins out? Could we see pricing competition for some high value talent and some of these green infrastructure areas go up? Or do you think you can access more talent globally, maybe push some of those acquisitions’ costs down? Just curious what Jacobs has seen in this virtualized environment?
Bob Pragada: Great question. And it's the -- war on the talent hasn't slowed at all during the pandemic, that's for sure, but a couple of responses there. One is that we've used the word global integrated delivery, global connectedness, that matters. The folks that we see coming into the job force today are they care about what's going on globally and want to work on really, really neat stuff and that's a great attraction to Jacobs where if I may, either I'd spent half of my career in the mechanical engineering field or new graduate, but yet, I can use my domain expertise and now -- and now work on projects that are effectively changing the face of the world. Then I don't know of another recruiting tool that we could use as that. The virtual aspect of that, I talked about the positive, the other side of that ledger is that the demands on leadership become even higher because in a virtual world we need to make sure that we stay connected to our people and Steve and Kevin in the entire leadership team have really put a high level of focus on making sure that our newer employees feel connected to the culture of Jacobs through everything from town halls to increased communication etc. So there is a balance and it is a new world that we're really excited about.
Steve Demetriou: Yes, one thing Josh to augment Bob's comment is our attrition rates have continued to be very, very attractive and following. Now some of that could be affected and impacted by COVID, but the reality is with you -- with us being able to deliver, really, really good performance on lowering attrition rates it puts less pressure on attracting new talent, which is obviously a good thing from an economic perspective and capability perspective given our teams. So it works in a circular manner. In terms of focusing on our culture, making people excited and that ultimately translates to a really good picture going forward in terms of gaining access to talent.
Operator: Our next question comes from Andrew Wittmann with Baird. Your line is now open.
Andrew Wittmann: Great, thanks. It is probably for Kevin. I guess I just want to understand the some of the moving pieces on the corporate cost related to fiscal '21, because I heard that there is already $75 million of kind of quick wins, I think you term then -- I think that -- I have to imagine $35 million of annual lease costs are part of that. I guess my question is, how much do you estimate that the headwind is from the low-cost in 2020? I guess you kind of talked about the fact that there was some deferred healthcare things because of COVID, other things like that that could be lower than expected SG&A in 2020. So I guess I'm just trying to understand if there is a net benefit from the actions that you've already taken here in early 2021 to deliver. I guess EBITDA dollar growth for those cost actions. Then I guess there is a similar implication, your question on 2020. It sounds like there is a good deal of reinvestment planned against that. I was hoping to I guess ask the separate ways, is there as you look to '22 and '23 as part of the three-year plan, is there a net benefit or do you expect that the majority of these savings will get reinvested?
Kevin Berryman: So that was a big question. And let me let me kind of parse it apart. So yes, the incremental cost that we are seeing in 2021 are a function of as we now see the light at the end of the tunnel relative to the COVID situation we're positioning ourselves to be reinvesting back into the business to accelerate our ability to deliver profitable growth as we exit this year and into 2022 and beyond. So that's a very clearly the case. And so if you think about that effectively what I guess I'd reemphasize, what I said during the prepared remarks was effectively that $75 million is offsetting some of these kind of come back in costs for 2021. And so as we go then into 2022 and beyond clearly Focus 2023 allows us to deliver incremental benefits and from our perspective, the way that we're envisioning that is, that gives us degrees of freedom to really significantly invest in some of the digitization, training, capability sets for us to deliver the next wave of innovative solutions that are higher margin and deliver even special more special solution to the clients. So as we sit here today, we say look we're going to invest back those incremental monies, but of course each of those incremental investments are going to have to have a return profile that makes sense from a shareholder perspective and if they don't, maybe some of that drops to the bottom line. But our attention on Focus 2023 really is about profitable higher margin growth going forward.
Operator: Our next question comes from the line of Michael Feniger with Bank of America. Your line is now open.
Michael Feniger: Hey, guys. Thanks for squeezing me in. I know we're running a little long. So I'll try to keep it short. Just first off with the pent-up demand that you guys are talking about, have you seen anything on the public or private side, with booking just start to fall in November after the election?
Steve Demetriou: Michael, when you say fall, you mean to be awarded?
Michael Feniger: Yes. If there was any fall or any pick up, you guys saw on bookings after the election increase of customer inquiries. Did anything really change in November that gives you guys confidence on the second half?
Steve Demetriou: I don't know if it was directly affect -- I don't know if it was directly tied to the election, but we continue to see positive momentum in our bookings. Now is that coincidence if they were tied to November election or not, but probably not probably not appropriate for us to speculate on that. Programs have been coming in, we talked about the pipeline, the pipeline continues to be robust and we continue to win a fair share of those. So yes, I think they are two independent events.
Operator: Our next question comes from Joseph DeNardi with Stifel. Your line is now open.
Joseph DeNardi: Thanks. Bob, there is a bullet on CMS slide that says KeyW geospatial technology for confidential commercial customer, that sounds kind of exciting. Can you talk about what that is? Maybe what that pretends for some of the government-related pursuit that KeyW was involved with geospatial? Thank you.
Bob Pragada: Joe, I got to be really careful with this one. It is a -- it is confidential, it's in the automotive sector and it really starts to rely on deep space satellite technology in order to advance all of the smart kind of capabilities that you would find in a commercial vehicle, but it's unique because it's gone to yet another domain, in order to get that information and really enhances speed and accuracy of what's being fed to cars on the road. So unfortunately that's probably all I could say about it at this point.
Operator: There are no further questions in queue at this time, I'll turn the call back over for any closing remarks.
Steve Demetriou: Yes, thank you. Just to close out, since the pandemic started the safety and well-being of our people have been our top priority. And in parallel, we've worked hard to deliver on our client commitments. We're going to continue that focus in spite of the virus escalating around the world. Hopefully, you've got a flavor today that we continue to play a role in support of the major pharma clients in the front line of the vaccine therapeutic production and we're encouraged by the recent announcements on the vaccines. And as we close out this fiscal year, I'm proud of the performance we delivered in these unprecedented times and the credit goes to the ingenuity and dedication of all of our people. As a result, we're entering fiscal year 2021 from a position of strength in our key markets, and a collective determination to drive growth through innovative solutions for our clients. Thank you.
Operator: This concludes today's conference call. You may now disconnect.